Operator: Good morning, and thank you all for attending the Semrush Holdings Second Quarter 2025 Results Conference Call. My name is Brika, and I will be your moderator for today. [Operator Instructions] I would now like to pass the conference over to your host, Brinlea Johnson of The Blueshirt Group. Thank you. You may proceed, Brinlea.
Brinlea C. Johnson: Good morning, and welcome to Semrush Holdings Second Quarter 2025 Conference Call. We'll be discussing the results announced in our press release issued after market close on August 4, 2025. With me on the call today is our CEO, Bill Wagner; and our CFO, Brian Mulroy. Today's call will contain forward-looking statements, which are pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements include, but are not limited to, statements concerning our expected future business and financial performance and financial condition, expected growth, adoption and existing and future demand for our existing and any new products and features, our expected growth of our customer base and specific customer segments, the continued development of our products, industry and market trends, our competitive position, market opportunities and growth strategies, sales and marketing activities and strategies, future spending and incremental investments, our guidance for the third quarter of 2025 and the full year 2025, statements about future pricing and operating results, including margin improvement, revenue growth and profitability, assumptions regarding foreign exchange rates and plans and expectations and statements regarding our share repurchase program. Forward-looking statements are statements other than statements of fact and can be identified by words such as expect, can, anticipate, could, plan, seek, believe and will. These statements reflect our views as of today only and should not be relied upon as representing our views at any subsequent date, and we do not undertake any duty to update these statements. Forward-looking statements address matters that are subject to risks and uncertainties that could cause actual results to differ materially from these forward-looking statements. For a discussion of the risks and important factors that could affect our actual results, please refer to our most recent annual report on Form 10-K filed with the Securities and Exchange Commission as well as our other filings with the SEC. And finally, during the course of today's call, we refer to certain non-GAAP financial measures. There is a reconciliation schedule showing the GAAP versus non-GAAP results currently available in our press release issued yesterday after market close, which can be found at investors.semrush.com. Now let me turn the call over to Bill.
William R. Wagner: Thank you, and good morning. I'm pleased to share that Semrush had another quarter of strong revenue growth and solid margins. Revenue in the quarter was $108.9 million, representing 20% year-over-year growth and non-GAAP operating margin came in at 11%. We once again reported very strong performance in our Enterprise segment, a major area of focus for us in 2025. We continue to see strong demand for our enterprise search engine optimization products in this segment, and our enterprise SEO solution grew to 260 customers with an average ARR of approximately $60,000. We believe this growth underscores the compelling value proposition and the continuing importance of SEO for larger organizations. Importantly, enterprise SEO is now the largest contributor to overall company growth. Continuing on the enterprise theme and building on the success of enterprise SEO, in June, we introduced our enterprise AI search product, AI optimization. In a few short weeks, we had over 30 enterprise customers purchase this new AI product for a total ARR of nearly $1 million, underscoring the relevancy and timeliness of this solution. Overall, this success moving upmarket in the enterprise segment is reflected in the company's average ARR per customer, which is up 15% year-over-year, while the number of customers paying over $50,000 per year grew by 83%. Despite this early success, we believe we are at the beginning of our journey and see a long runway for continued growth. As a reminder, we have approximately 9,000 enterprise accounts using Semrush for SEO and fewer than 5% are on our enterprise SEO solution today. Another top priority that I outlined on our last call was doubling down on AI. The strong growth in our AI products also continued during the quarter. As I just mentioned, we successfully introduced AI optimization in Q2 and we'll be introducing significant enhancements in the second half of the year. AI toolkit, which we launched at the end of Q1, is the fastest-growing product in the company's history, growing from 0 to $3 million ARR in a few months. We believe we are approaching a time when every SEO expert will need to add AI search capabilities. Our usage data shows that when customers purchase AI toolkit, we see a 20% increase in their activity in our SEO toolkit, showing the highly complementary nature of these products. For Semrush, we believe AI toolkit is the tip of the spear, and we plan to make new AI search capabilities available to our customers in the upcoming quarters. To underscore our success in both enterprise and AI, we expect ARR from these products to approach $50 million by the end of the year. While we are excited by the growth and adoption of our enterprise and AI products this quarter, we continue to experience softness at the lower end of the market. This customer segment includes freelancers and less sophisticated users who have historically had the highest churn rate of our customer cohorts. We also saw a dramatic increase in paid search cost per click in the quarter, which increased our cost to acquire these customers. In the face of the declining unit economics for this lower-value customer segment and given the strong returns we are seeing from our investments in AI search and the enterprise segment, we made a strategic decision to not increase our marketing spend, which would have pursued volume and near-term revenue at the expense of long-term value. Instead, we directed more of our marketing and engineering resources toward our high-growth, high-retention areas, specifically enterprise and AI search, where we are seeing rising customer demand and compelling returns. Now this deliberate resource shift may contribute to near-term revenue headwinds, we are confident it positions us for stronger, more sustainable growth. As Brian will outline shortly, we are adjusting our full year guidance to reflect these near-term market conditions and our prioritization of resources on higher-value segments. Before wrapping up my comments this morning, I want to share our view of the changing landscape in digital marketing and why we remain so bullish on the opportunity in front of us. We believe and the data shows that ChatGPT and Google's AI mode are increasing the size of the opportunity. We agree with Google's perspective that overall search is growing. AI is powering an expansion in how people are searching and accessing information. Our own data shows a positive correlation between the use of ChatGPT and the use of Semrush products. We believe this is because today's marketers understand that they have to get their brands show up in classic search results and in answers generated by a user's prompts into an LLM. It's because the things that marketers had to do to rank in search, namely build credibility and authority are the same things they need to do for LLMs. The big difference is that the number of sources has grown by an order of magnitude. This means that marketers have to better understand the prompts that people are using to find their products or brands, understand how those brands show up in answers, optimize their content for those prompts and make sure their message is showing up not only on their website or in their blog, but also in videos on YouTube, in local reviews and on sites like Reddit and Quora. This is exactly what Semrush does, and we believe the shift to LLMs and answer engines creates an enormous opportunity for us. With the changes we've made to accelerate our innovation in AI search, I'm confident Semrush will emerge as the leader in this field. In summary, we are very excited about our position in the market and the opportunity in front of us. We have made an intentional shift in our allocation of resources to capitalize on the largest opportunities in front of us, including the changing search landscape and the large and untapped enterprise segment. With that, I'll turn the call over to Brian to walk you through the financial results of the quarter and discuss guidance.
Brian Mulroy: Thanks, Bill. Let me start with our second quarter results, and then I would like to reinforce a few key points Bill made and provide additional context on how they shape our 2025 outlook. We delivered on our commitments in the second quarter, achieving revenue of $108.9 million, exceeding the midpoint of our guidance and representing 20% year-over-year growth. Notably, our enterprise SEO solution, just 1 year after general availability became the single largest contributor to our revenue and annual recurring revenue growth in the quarter. Additionally, we saw continued momentum cross-selling our broader digital marketing platform within our existing customer base, underscored by sustained and accelerating year-over-year growth in average ARR per paying customer. As of June 30, 2025, we had approximately 116,000 paying customers, down sequentially from the prior quarter, primarily reflecting continued softness among freelancers and less sophisticated customer segments. Our dollar-based net revenue retention at the end of the second quarter was 105%. Over the mid- to long term, we remain confident that our net revenue retention will strengthen further, driven by our ongoing shift towards more sophisticated and higher-value customers. However, in the near term, we anticipate some temporary pressure as softness in our less sophisticated customer segments continues. As our intensified focus on enterprise and AI customers increasingly influences our business mix, we expect this pressure to ease and ultimately become a significant source of strength. We achieved positive non-GAAP operating income of $12 million in the second quarter, in line with our guidance, resulting in a non-GAAP operating margin of 11%. This result is down approximately 240 basis points year-over-year, driven almost entirely by a weaker U.S. dollar. Cash flow from operations was $0.7 million in the second quarter, representing a cash flow from operations margin of 0.6%. Free cash flow was negative $3.6 million in the quarter, resulting in a free cash flow margin of negative 3.3%, primarily due to the timing of cash tax payments, collections and prepaid expenses. We continue to expect a 12% free cash flow margin for the full year 2025. And as a reminder, we encourage investors to evaluate our cash flow performance on an annual basis given the inherent quarterly variability, driven by annual subscription renewal cycles and the timing of tax payments and prepaid expenses. We ended the quarter with cash, cash equivalents and short-term investments of $258.5 million, up $27 million from the prior year period, reflecting the strength of our free cash flow generation. Annual recurring revenue grew 15.3% year-over-year to $435.3 million, reflecting some deceleration consistent with the segment dynamics I mentioned earlier. Despite this, our average ARR per paying customer increased to $3,756, representing growth of more than 15% compared to the same quarter last year, which is the highest level of growth we've achieved in 12 quarters. This growth was driven by strong adoption of our enterprise and AI products, ongoing success in cross-selling our solutions and our strategic focus on engaging more sophisticated and higher-value customers. Turning now to our guidance. I'd like to reinforce a few key points Bill made and offer additional context on how they impact our outlook for 2025. First, as Bill highlighted, our enterprise customer segments and our enterprise and AI product portfolio continue to become increasingly meaningful contributors to our business, demonstrating clear momentum across several key metrics. Dollar-based net revenue retention within our Enterprise segment remains strong, consistently above 120%. Additionally, we're seeing rapid growth among our largest customers with the number spending over $50,000 annually, increasing 83% year-over-year. Our recently launched enterprise SEO, enterprise AIO, AI toolkit and AI content toolkit products are also scaling impressively, together reaching nearly $25 million in ARR as of the end of the second quarter. Second, given the traction we are seeing and the future opportunity ahead, we are further accelerating resource allocation towards these areas to capture market share and strengthen our leadership position. Our investments will fuel product innovation, expand go-to-market capabilities and deepen support for our highest value customers. We are funding these strategic investments primarily through resource reallocation and efficiencies across our business rather than expanding our overall cost structure. Our strategy is about investing thoughtfully and with discipline, positioning us to drive sustained profitable growth. Finally, while we remain very encouraged by the momentum in our enterprise and AI offerings, we continue to see softness at the lower end of the market, amplified by a significant increase in paid search cost per click. As Bill highlighted, given the declining customer acquisition economics in this segment and its historically lower net retention rates, we made the strategic decision not to pursue incremental marketing spend in response to elevated CPC levels. Instead, we focused our resources on areas with significantly stronger unit economics, specifically our growing enterprise and AI portfolio. While we believe this decision positions us well for long-term success, it contributes to near-term revenue headwinds and is reflected in our revised annual guidance. Taking all of these factors into account, we are adjusting our full year 2025 revenue guidance. We now expect revenue in the range of $443 million to $446 million, representing approximately 18% growth at the midpoint, down from our previous guidance range of $448 million to $453 million. We are reiterating our previous full year guidance of 12% for both non- GAAP operating margin and free cash flow margin despite the reduced revenue outlook and a significant foreign exchange headwind due to a weaker U.S. dollar. Our non-GAAP operating margin guidance now absorbs an incremental expense headwind of about $9 million resulting from recent exchange rate movements. Our initial guidance assumed a euro to U.S. dollar exchange rate of 1.05. And while we are currently modeling 1.16, rates during the first half reached as high as 1.18. Approximately 30% of our expenses are denominated in euros. And since our revenue is almost entirely in U.S. dollars, our margins are effectively unhedged against these currency fluctuations. Absent these exchange rate impacts, our full year operating margin would have reflected meaningful leverage inherent in our model. Said another way, excluding these currency impacts, our margin guidance would have implied a year-over-year expansion of nearly 200 basis points. Similarly, we continue to expect our full year free cash flow margin to be approximately 12%, representing a 260 basis point improvement compared to 2024. This expansion is driven by improved profitability as well as continued growth in our Enterprise segment, where we typically structure deals with a minimum annual commitment and annual billing, resulting in favorable cash flow dynamics. For the third quarter of 2025, we expect revenue in a range of $111.1 million to $112.1 million, which at the midpoint would represent growth of approximately 15% year-over-year and non-GAAP operating margin at approximately 11.5%. In closing, our enterprise and AI products continue to show remarkable strength, adoption and momentum, exceeding our early expectations. We have thoughtfully accelerated investments and resource allocation towards these high potential areas, guided by disciplined financial management and supported by our strong balance sheet and robust free cash flow generation. Looking ahead, I remain energized and optimistic about our ability to drive durable growth, profitability and strong cash flow. We believe we are strategically aligned with where the market is headed, not where it's been, and we're in an excellent position with the right products, customers and strategy to capitalize on the significant opportunity and deliver durable long-term shareholder value. Reflecting our conviction in this strategy, the strength of our balance sheet and free cash flow generation and our confidence in the long-term opportunity ahead, we are announcing a $150 million share repurchase program that will commence this quarter. This program demonstrates our strong belief in the business and the attractive valuation opportunity we see today, reinforcing our commitment to delivering durable shareholder value. With that, we'd be happy to take your questions. Operator, please open the line.
Operator: [Operator Instructions] The first question comes from Scott Berg with Needham.
Scott Randolph Berg: I guess the first question I have is on the low end of your customer segment and some of the pressures that you're seeing there. Is the buying pressure, I guess, kind of pretty broad-based and widespread? Or are you seeing some of those pressures outside of the paid click items? But is the pressure pretty broad-based across all your products? Or is there something that's still selling reasonably well even in this environment?
Brian Mulroy: Yes, a good question. It's fairly contained. It's something we've been talking about for some time about freelancers, which are impacted by a number of macro factors and then less sophisticated customers. That's been something we've been talking about for about a year that persisted through the second quarter. And in the second quarter was particularly impacted by the rising cost per click that Bill and I mentioned earlier. So fairly contained to that particular segment.
Scott Randolph Berg: Got it. And then from a follow-up, Brian, I know you and I have been talking for a couple of years around the liquidity of the stock, and I understand the buyback program relative to where you all expect the valuation to trend here in the short term while the business goes through some of these transitions. But if you fully execute on your buyback program at $150 million, how does that change your viewpoint on the liquidity of the stock? Because I think that's still been a challenge for some institutional shareholders.
Brian Mulroy: I think at this point, share repurchase gives us an opportunity to share our conviction about where the company is going, the momentum we're building in enterprise and AI and the overall conviction we have about our future potential. That's paramount for us is to make sure that, that's expressed and something that we can execute on as we advance forward.
Operator: We now have Elizabeth Porter with Morgan Stanley.
Elizabeth Mary Elliott Porter: I wanted to follow up on the downmarket piece. I believe around the Analyst Day, we've been talking around the opportunity for that down market to start to stabilize or maybe even get a look better, but it sounds like it's getting worse. And kind of we put that against an overall macro that seems to be holding in better than feared. So I just wanted to get a finer point of what drives your view that the down market weakness is something that is just more temporary in macro? Or what's the risk that you're seeing any changes in competition or that pressure could be actually more secular?
William R. Wagner: Yes. Thanks for the question. So I think what we're -- I mean, first of all, the data would show -- our data shows it is, as Brian just said on the last question, it is contained to that segment of the market. And look, I think post pandemic, there was a big boom in freelancers who are doing marketing, and I think that has largely subsided. So I don't think it's tied to the larger macro. I think the larger macro is -- we see it as pretty stable. We haven't seen any signs across the other segments. And we also know that from -- that the SEO demand remains high because look at what's going on with our enterprise segment in SEO. Those customers are buying our enterprise search engine optimization product, which is now our biggest contributor of growth. So it's really, we think, that dynamic of that kind of post-pandemic people leaving kind of the marketing space at that low end. Obviously, larger customers are still doing marketing and investing more. So I think that explains the dynamic.
Elizabeth Mary Elliott Porter: Got it. And then just as a quick follow-up. I think the implied kind of Q4 revenue growth assumes some modest improvement. And so what drives the view on kind of that exit rate closer to kind of 16% year-over-year, a little bit of improvement from kind of the Q3? And second, when I look at Street kind of closer to 19% growth for fiscal '26, anything that we should be mindful of as it relates to maybe the mismatch between the implied exit rate and Street's current fiscal '26 view? Just anything factors to call out there would be helpful.
Brian Mulroy: Yes. Elizabeth, we are assuming that in our guidance, and it's a function of the momentum that we're building with enterprise and AI. We mentioned earlier that the combined annual recurring revenue across enterprise SEO, enterprise AIO, our new AI toolkit and then the AI content toolkit products achieved $25 million in ARR by the end of the second quarter. And Bill mentioned earlier that we expect that to rise up to $50 million by the end of the year. So it's the momentum in that product portfolio and within the Enterprise segment that gives us confidence in our ability to deliver our guidance for the year and continue to deliver strong growth and momentum within the enterprise segment and enterprise and AI products.
Operator: We now have Luke Horton with Northland Capital Markets.
Lucas John Horton: Just wanted to touch on that new product pipeline. You've launched several AI and enterprise-focused products and tools. And Bill, I think in your prepared remarks, you mentioned growing these to about $50 million by year-end. Just wondering if we can get a sense of how much of this is coming from your existing customer base with those 9,000 enterprise customers versus kind of net new customers?
William R. Wagner: Yes. That hasn't really changed from last quarter. It's still about, I would say, in the enterprise space, it's about 60% of those customers are upgrades and roughly 40% are new to the portfolio. So that continues to be the split. And I think going forward, a lot of that growth that we talked about getting the AI and enterprise portfolio up to $50 million ARR as we exit the year. Those most likely driven by the -- or most driven by the products that we already have in-house now that we've launched our AI optimization products in the enterprise space, but we will be introducing products both in Q3 and in Q4, both in the enterprise segment, but also in our product- led growth motion as well.
Lucas John Horton: Okay. Got it. And then could we also just get an update on the competitive landscape here? Are you guys seeing any sort of increase in competition with the shift to AI-based search -- or just any trends you're seeing from a competitive standpoint?
William R. Wagner: No, I wouldn't say we've seen any significant change in the competitive landscape.
Lucas John Horton: Okay. And then just lastly, from a geographic standpoint, performance between the U.S. and outside the U.S. or anything you're seeing from customers in these regions or trends to call out between -- inside and out of the U.S.?
William R. Wagner: Again, we really haven't seen a change in that. That remains largely 50-50 right now across the U.S. versus rest of world. So yes, and that trend continues both in PLG and in enterprise.
Operator: We now have Jackson Ader with KeyBanc Capital Markets.
Jackson Edmund Ader: Are the customer acquisition costs on the low end, is the fact that they are going up, is this driven by the AI search trends? Like is this being driven by the very thing that you're trying to help your customers solve? And if so, is this -- do you see your customer acquisition cost increases being more pervasive for other companies, either like in your sector or outside your sector?
William R. Wagner: Jack, this is Bill. Let me answer that question. So I think -- look, I'm sure you listened to Google's earnings a couple of weeks ago and saw their dynamic. Their ad business is growing very nicely. They're introducing -- I mean, AI now is probably about 30% of Google searches now has either AI overview or AI mode according to our own analysis. So that means less blue links, and that means those are -- from a paid perspective, the real estate has gotten more expensive. And so I think all kinds of brands are going to be trying to figure out how they show up. The most important thing is how they show up in the LLM portion, the AI-generated portion. And I think that's exactly what we do. And I think it's -- we see that showing up in the usage stats of our own products, where I mentioned on my prepared remarks that we see people -- a high correlation between SEO and AI toolkit and the usage between those 2 products. So I think that's a dynamic that all brands are going to have to deal with. And in my mind, it plays to our strengths.
Jackson Edmund Ader: Okay. Then -- just following up on that, and apologies if I'm missing something. But if Semrush is ostensibly the company that should be helping customers like figure this issue out, like what does it say that you are making the strategic decision to not chase the customer acquisition increase and kind of move away from this problem, this like top-of-funnel problem, while also offering the tools that are, again, ostensibly supposed to be helping solve the issue? Like what makes your motion different than what you might be telling your customers, which is like stay in the fight, use our tools?
William R. Wagner: I think it's more -- Jackson, I think it's more about that segment than anything else. I think our tools -- and this is a great example is in the enterprise space, our enterprise SEO is our #1 contributor of growth. So companies are buying SEO at a pace that is very strong, and we continue to see really strong demand. I think it's really about the dynamic in that low end. And by the way, we're still going to attract -- just to be clear, we're still going to attract customers across all segments. It's about looking at our unit economics and our -- where our capital and resources can be most effective. And so that's organic search, it's paid search and organic. It continues to be an area where we emphasize, we spend a lot of our resources. Our customers use us to show up better in organic. So paid is just one channel. And when paid goes up, you need to look at your capital allocation and make decisions to get the best return on your investment. So that's what we're doing. And I expect our customers will continue to do that every quarter.
Operator: Our final question comes from Adam Hotchkiss with Goldman Sachs.
Adam R. Hotchkiss: If I go back to Analyst Day, I think 50% of the business is still SMB or that solopreneur and freelancer part of the business. Brian, I know you said that the expectation is once you get beyond this year and some of the near-term softness, the expectation is that, that piece of your customer base is still a priority and you expect some stabilization there. How should investors think about that piece of your ARR and what the trajectory of that looks like going forward? And maybe just some of the puts and takes around that.
Brian Mulroy: Adam, yes, as of now, the SMB, solopreneur and freelancer is about 40% of our business from an ARR perspective. And of course, that's still a strong business. The cohort that we're referring to is really at the very low end. So we still have really good strength and momentum with SMBs. They continue to adopt and use our SEO solution and our broader digital marketing platform. It's really the lower-end business owners who are untrained marketers and freelancers that are experiencing that -- where we're experiencing that softness. So we're very much invested in and continue to grow and scale our SMB business. As of now, momentum is building there across the mid-market and of course, enterprise and those that are adopting AI, and that will continue to be a priority for us. So the cohort that's really feeling the pressure is really at the very low end as we've been talking about since Analyst Day.
Adam R. Hotchkiss: Okay. Got it. Very helpful. And then just to follow up on the last question on customer acquisition cost efficiency. Was there a cutoff that you saw that really come into the fold? Is it really just that lower end solopreneur freelancer piece of the market? Or would you say that, that customer acquisition cost efficiency also eked into the SMB and mid-market side of the business? I guess I'm just trying to understand whether this is a everyone but the enterprise conversation or this is just a really low end of the end market conversation around the customer acquisition cost?
William R. Wagner: I think the dynamic that's unique about that lower end is, as Brian mentioned, the lower ARR and the retention rates, highest -- lowest retention rates in the base. They churn at a higher rate than any of our customers. So the unit economics, so paid search still makes sense for other segments, but it doesn't make as much sense for that cohort as prices increase. So again, I think it's always really prudent to make sure you're looking at and certainly when I came in as CEO to look at where we're spending our dollars and where we get the greatest return. So that's really the dynamic that we see.
Operator: We now have another question from Surinder Thind with Jefferies.
Surinder Singh Thind: Just following up on the last set of questions here. Is there a longer-term consideration that we should be thinking about as search itself evolves and we see fewer of those blue links beyond just kind of what we're seeing in the near term here?
William R. Wagner: Well, I think what we've seen, and I mean, there's been a lot that's happened since the last time we spoke together. But what's interesting is our own research says, as I mentioned, so look, you got about -- Google handles like roughly 14 billion searches and ChatGPT, maybe another 1 billion or so that are actual search related. And so in all, I think we're seeing like AI show up in between 30% and 40% of search results. What's interesting is our research says that blue links continue to convert, but the links that are in LLMs convert over 4x higher. So for brands, the priority is -- a new priority is like they have to understand how they show up in those answers. And as Google itself said a few weeks ago, there was a search engine roundtable and their own analysts set up, it's like the things that work for you in SEO are going to help you show up in LLMs. And again, that's what we do. So we're very confident we can help brands show up in LLMs. There's a much greater conversion rate when they click on a link in an answer than they did in traditional search. So brands are scrambling to figure that out.
Surinder Singh Thind: That's helpful. And then big picture, when we think about just the enterprise business here, the focus on that. Was there any detectable change in behavior, I guess, I would say, from a purchasing perspective, I hear the results of the results, but just any behavior that might be worth highlighting of how we went from 1Q to 2Q and what you might be seeing this quarter so far and maybe the expectations for the rest of the year as we kind of think about how trends might evolve into 2026?
William R. Wagner: Yes. As I said last quarter, when I just arrived and stepped into the role, I wanted to lean into both AI search and enterprise. And I would say if there's anything now that I have a full quarter under my belt, I would say, if anything, I have more conviction than I did then. So stepping into the CEO role, capital allocation is always something I want to get my arms around, making sure we're investing in the business in the right areas, how we're thinking about M&A and whether we should be returning capital to shareholders. And so we've talked about that softness for several quarters. Brian's highlighted it. And then when I started looking at digging into the paid advertising costs, it really caught in the question whether we're allocating resources efficiently at that lower-end segment. So we made a couple of decisions, pulled back our marketing dollars in that lower-end segment where the unit economics weren't as strong. We're increasing our AI and enterprise investments where we're seeing a lot of demand and think we have a great, strong competitive position. And then we have a lot of conviction around where we're headed. So we think stock repurchase makes a lot of sense at this attractive valuation opportunity. So that's really what -- those are the decisions we made.
Operator: I can confirm that does conclude our question-and-answer session. And I would now like to hand it back to the management team for some closing remarks.
William R. Wagner: Thank you all for joining us today. We reported a solid quarter with our positive momentum in the enterprise segment and our AI solutions continue to build. We are excited about our position in the market and our future prospects.
Operator: Thank you. Thank you all for joining. I can confirm it does conclude the Semrush Holdings Second Quarter 2025 Results Conference Call. Thank you all for your participation, and you may now disconnect, and please enjoy the rest of your day.